Operator: Good day, everyone, and welcome to the CBS Corporation Third Quarter 2013 Earnings Release Teleconference. Today's call is being recorded. At this time, I'd like to turn the conference over to Executive Vice President of Investor Relations, Mr. Adam Townsend. Please go ahead, sir.
Adam Townsend: Thank you, and good afternoon, everyone, and welcome to our third quarter 2013 earnings call. Joining me for today's discussion are Sumner Redstone, our Executive Chairman; Leslie Moonves, President and CEO; and Joe Ianniello, Chief Operating Officer. Sumner will have opening remarks, and we'll turn the call over to Les and Joe, who will then discuss the strategic and financial results. We will then open up the call to questions. Please note that during today's conference call, certain 2013 actual results will be compared against 2012 adjusted results. Reconciliation for non-GAAP financial information related to this call can be found in our earnings release or on our website. In addition, statements in this conference call relating to matters which are not historical facts are forward-looking statements, which involve risks and uncertainties that could cause the actual results to differ. Risks and uncertainties are disclosed in CBS Corporation's news releases and security filings. A webcast of this call and the earnings release for today's presentation can be found on the Investors section of our website at cbscorporation.com. And with that, it's now my pleasure to turn the call over to Sumner.
Sumner M. Redstone: Thank you, Adam. Good afternoon, everyone. I am, once again, extremely pleased for CBS's third quarter. We are clearly on our way to have an outstanding year. Our contents commands a premium across every platform. And with Les and his team leading the way, we've got a long, long way to go. So without further ado, I'll turn the call over to my good friend and colleague, CBS's President and Chief Executive, the man I could call a miracle worker.
Adam Townsend: Thank you, Sumner, for that nice introduction. Good afternoon, everybody, and thank you for joining us. I'm pleased to report today that CBS has currently gained its best third quarter in our history, in all key metrics including double-digit revenue growth and healthy increases in OIBDA, operating income and EPS. Revenue was up 11% to $3.6 billion. OIBDA was up 4% to $941 million. Operating income was up 5% to $828 million. And EPS was up 19% to $0.76. These results are very consistent with what you've been seeing all year long. We've had a record-breaking first half followed by this best third quarter we've ever had. And we're well on our way to a record full year in 2013. As you'll hear today, we're also extremely confident we'll have a terrific 2014 and many years beyond that as well. The reason we continue to post such strong results and have such great confidence on our future is because in addition to the vitality of our base business, our fast-growing nonadvertising revenue streams are getting better all the time. This concludes continued healthy increases in international syndication, digital streaming, cable affiliate fees and of course, retrans and reverse comp. Speaking of that, I know you've all been focused on the Time Warner Cable dispute, the factors that the blackout did not negatively affect our company's third quarter results, and obviously has led to dramatic gains in retrans, which is now up 50% year-to-date. And you'll see even bigger increases in the years to come. In addition, and very importantly, we also retained full digital rights to our content, giving us the flexibility to do a number of deals since we struck the Time Warner Cable one. These include our first major streaming deal for Showtime series with Netflix, a deal with Comcast to license our content to its online Streampix service, an agreement to bring the Smithsonian network to Apple TV and expansion of our CBS app to include all of our primetime shows on both the iOS and Android platforms a new international streaming deal for Under the Dome with Amazon to go along with the domestic agreement we already have with them, our second streaming deal with Latin America and the Caribbean and others as well with more to come. But once again, these deals show the importance of retaining our digital rights. Plus, this constant flow of deals has brought our mix of advertising and nonadvertising revenue to a virtual 50-50 split for the first time ever. It's quite a different story from just a few years ago when it was more like 70-30. The good news is that our traditional advertising business is also growing strongly, including network advertising, which was up 13% during the quarter, the highest in many, many years. The driving force behind our continued strong performance is CBS's evolution into a company focused around content. And once the separation of our Outdoor Americas business is complete, you'll be seeing more quarters like this one with about 1/2 of our revenue coming from non-advertising sources. Plus, the moves we are making in Outdoor, as well as the continued health of our company will enable us to return more value to our investors. We've always said that returning capital to shareholders is a key priority for us. And you can be certain that it will continue going forward as well. Now let's take a look at the performance of each of our businesses, starting with Entertainment. Then I'll turn it over to Joe for more insight into our results followed by your questions. The company's terrific third quarter numbers were driven by our successful summer programming schedule on the CBS Television Network. We greatly increased our output of original programming, including the expanded schedule for Big Brother, new episodes of Unforgettable and the debut of Under the Dome. As you know, ratings for Under the Dome were beyond all expectations. And we own 100% of this new franchise, meaning we will continue to monetize it for years to come. Next summer, we'll have season 2 of Under the Dome, as well as another new original series called, Extant, which is also from Steven Spielberg's Amblin Entertainment, and stars, Halley Berry, in her first television series. Just like Under the Dome, we own Extant 100%. Through the success of our summer programming, we have in essence created a whole new day-part where we are now generating significant new advertising revenue, creating new digital streaming models to fund production and launching new own content franchises that will pay off for years to come. Our momentum has continued into the fall season where CBS is, once again, the most watched network. We have 3 of the top 5 shows on television and 14 time-period winning programs more than all of the other networks combined. We also have the top 3 new comedies in The Millers, The Crazy Ones and Mom. Plus, we have the #1 show on television, NCIS, the #1 comedy in The Big Bang Theory. Both of these the shows are pulling in more than 20 million viewers a week, and thanks to the strength of our schedule scattered here in the fourth quarter is up double digits above the upfront and double digits above this time last year as well. At the same time, there are also some exciting developments underway in the network television business model. We are moving towards the universal. And we get paid fair value for every impression we offer to our advertisers. This is still evolving, but it's inevitable and will benefit us in a number of ways. First, VOD viewing is now being measured by Nielsen. And we're getting paid for the viewing that occurs within the first 3 days of air. Next, as you've heard before, were having discussions about changing the standard measurement window beyond 3 days. We have already concluded deals with some significant clients for 7-day viewing. And we expect this to be the norm for next season. There is clearly value in advertising that's seen between days 4 and 7 and beyond that as well. We intend to monetize that viewing going forward. In addition, technology will increasingly allow programmers to insert clients up to the minute messages no matter when a program is watched. The current buzzword for this is dynamic ad insertion. And it's another great growth opportunity for us. Plus, all of this doesn't even take into consideration the ad dollars we generate when our programming is viewed on the Internet, as evidenced by another strong quarter of double-digit revenue growth at CBS Interactive. So from VOD to 7-day viewing to dynamic ad insertion to Internet streaming, we are on our way to monetizing every eyeball that's viewing our content. It's clear that in this era of ever-changing technology, the world can no longer be looked at as it used to be. And measurement continues to get more sophisticated, the future for us looks very bright. And that goes for live events, too, where we continue to generate bigger and bigger audiences. During the quarter, our broadcast of the primetime Emmy awards delivered the show's largest audience in 8 years. Meanwhile, our NFL football ratings are 5% ahead of last year's huge numbers, including the highest-rated games so far this season when the Broncos came back to win against the Cowboys. And our SEC football coverage is up 23% for the season, led by the Alabama-Texas A&M matchup, which threw our best ratings for a regular-season afternoon college football game in 23 years. These strong ratings, by the way, are being sold into a very healthy sports marketplace here in the fourth quarter. In addition, our live events are increasingly getting a lift from social media, which is proving to be a powerful complementary platform for us. And thanks to new deals like our amplifying initiative with Twitter, we're not only benefiting promotionally, but we're now beginning to monetize clips of these events as well. Speaking of big events, CBS Films is coming off a terrific opening for Last Vegas. With a modest budget, the movie exceeds expectations over the weekend by pulling in north of $16 million at the box office and has done significant business since then as well. Plus, it earned an A- in the score rating, meaning that it stands to have strong legs in the weeks ahead. And later in the quarter, we look forward to the premiere of Inside Llewyn Davis from the Coen brothers, which earlier this year won the Grand Prix of the Cannes Film Festival. Turning to news, quality continues to translate into quantity as exceptional coverage leads to high ratings. CBS This Morning, CBS Evening News with Scott Pelley, CBS Sunday Morning and Face the Nation are all delivering their highest ratings in years. And 60 Minutes remains the #1 news program overall. Plus, just a few weeks ago, CBS News won 12 Emmy awards the most of any network and far more than the other 2 major broadcast networks combined. So our content is hitting on all cylinders. And its success is fueling our ability to get paid in all sorts of other ways as well. For example, one of the key drivers during the quarter was the domestic syndication sale of both NCIS: L.A. and The Good Wife, which led to 18% growth in content licensing and distribution. We are now replicating this kind of syndication success at Showtime, which I'll talk about in a minute. And across the company, we are replenishing the pipeline with new owned franchises that will continue to drive our results. This includes the recently announced new spinoff of NCIS that will be set in New Orleans, and will also be produced by CBS Studios. Internationally, we're once again using our content as a form of investment and to new markets. During the quarter, we announced a deal with one of the largest media companies in Europe, the RTL group, to expand into 29 markets across Asia. Going forward, we will continue to take advantage of opportunities to expand our footprint through ventures like this. And as I mentioned, we are also beginning to receive fair value for our content in retrans and reverse comp. We are the #1 network. And we will continue to negotiate rates that are more in line with the numbers of viewers we bring to our programming distributors. It was, obviously, unfortunate, that we could not reach a deal with Time Warner Cable more quickly and peaceably, just as we did with Verizon FiOS. But we emerged with better rates, full digital flexibility and more viewers. And our record breaking third quarter results today speak for themselves. This is also the first time, remember, in over 100 negotiations in the past few years that we have ever gone dark. Going forward, we are optimistic that we will forge new deals that recognize the full value of CBS. And we also look forward to striking new agreements with our affiliates for reverse compensation, many of which are coming up for renegotiation at the end of next year. Meanwhile, in Cable, we also continue to make progress in rates as well as distribution. Showtime is growing subs for 10 straight years. And the CBS Sports Network is now in more than 50 million homes, with significantly more to come in '14. Of course, original programming is the core of our success at Showtime. Homeland remains the network's #1 show. A new season is 25% ahead of the last one. Our newest series, Masters of Sex, has also become a hit with ratings 31% higher than Homeland's fresh new season. And both of these shows have, of course, been renewed. In addition, as I mentioned earlier, we have begun licensing our Showtime programs just as we've done so successfully at CBS. A few weeks ago, we announced the deal to license Dexter to Netflix. And we're in the process of licensing the show to various cable networks and local broadcast groups as well. When it's said and done, we will have achieved the same sort of syndication value per show for Dexter as we have for NCIS: L.A. and The Good Wife. Plus, we will continue to make Dexter available to subscribers on our Showtime Anytime app. And now our latest hit, Ray Donovan, has finished its freshman season as Showtime's top-rated new series. And we own it 100%. So you can expect to see the benefits of this new series into the future as well. Meanwhile, our new boxing deal with Floyd Mayweather has taken Showtime Sports to a whole new level. Last month's Mayweather-Canelo Alvarez fight was the highest grossing pay-per-view event of all time. And we look forward to continuing to grow this franchise in the years ahead. Also, in Cable, our recent investment in the TV Guide Network has begun extremely well. Over the summer, we added CBS programming into the mix, resulting in triple-digit ratings increases. In Publishing, we also had a strong quarter, Simon & Schuster, turning solid revenue growth and even better profit growth. And digital book sales were up 39%. Meanwhile, excluding political from a year ago, Local Broadcasting revenue was also up during the quarter. And our New York duopoly, including our flagship station, WCBS, was up 10%. And that includes political from last year. This double-digit growth was achieved during a quarter when the station was dark during the entire month of August. Just to show how strong we came out of that in the month immediately following the blackout, WCBS was the top billing station in the country. Turning to radio, the CBS Sports Radio network continues to help drive our results. Plus, digital revenue was up 19% in the quarter. And nontraditional revenue, including our growing local events business, was up 9%. So across the company, this was a terrific quarter. The performance of our base business was extremely strong. And our newest, fast-growing nonadvertising revenue sources are having a dramatic impact on the results. As I said, we already know that 2013 will be CBS's best year ever. We're now fully focused on executing the same sort of success in 2014 and beyond. Here's why we're so confident in where we're headed. First, we have 2 more of our hit shows, Hawaii Five-0 and Blue Bloods, going into first-cycle syndication next year. And we have refilled the pipeline to the years ahead with shows like Elementary, Ray Donovan, Under the Dome, The Millers and more on the way. Next, we'll continue to renegotiate our retrans and reverse comp deals to recognize the fair market value of CBS. Our 2 major deals this summer reset the bar for just 20% of our footprint, meaning there's a lot more growth to come. As a result, we are now tracking well ahead of the $1 billion in 2017 that we've told you about in the past. In addition, 2014 is another political year. We fully expect to surpass 2012 because midterm elections, historically, generate more revenues for us. And we have a number of big elections coming up in our O&O markets. Considering the rhetoric in Washington, there will be a lot of money raised and spent next year. And as always, rancor equals revenue. Plus, we have closed on our sale of our Outdoor business in Europe and Asia. And the separation of our Outdoor Americas business next year will mean that roughly 1/2 of CBS's revenue going forward will come from steady and recurring sources. This move will also greatly solidify our ability to return value to shareholders. Joe will give you an update on all this in a little bit. Finally, as we continue to evolve into a company that is all about premium content, I'm particularly excited about the work we're doing across CBS to create and own new programming. Each new franchise we produce allows us to take advantage of the increasing financial opportunities afforded by technology. And this is what will drive CBS to continued future success. Thank you. And with that, I'll turn it over to Jeff.
Joseph R. Ianniello: Thanks, Les, and good afternoon, everyone. Today, I'm going to provide some more details about our third quarter results. Then I'll talk about what we see had and lastly, give you an update on our Outdoor initiatives. Let's start with the third quarter. Our third quarter results once again demonstrate the benefits of CBS's ongoing evolution as we continue to monetize our content across all platforms. During the quarter, our established hit shows fueled increases in streaming and syndication, while our new programming drove advertising revenue higher. And we replenished our content pipeline for more growth down the road. Our third quarter revenue of $3.6 billion was up 11%. And we had increases in every one of our key revenue types. Advertising revenue continued to accelerate and grew 4% for the quarter, driven by the success of our game-changing summer lineup at the CBS Television Network. Content licensing and distribution was up 18%, primarily a result of higher syndication revenue from NCIS: Los Angeles and The Good Wife. And affiliate and subscription fees were up 23% led by our Floyd Mayweather pay-per-view fight, higher retrans and reverse compensation and continued underlying growth at Showtime and the CBS Sports Network. OIBDA of $941 million was up 4%, which includes significant investment in programming with our 2 new franchise hits of the summer, Under the Dome and Ray Donovan, as well as the Mayweather fight. We turned that OIBDA increase into net income growth of 12%. And together, with the benefit of our share buyback program, we delivered EPS growth of 70 -- of 19% to $0.76 per share. On a year-to-date basis, the story is very consistent as well. Year-to-date revenue of $11.4 billion was up 9%. Year-to-date, OIBDA of $2.8 billion was up 7%. Year-to-date operating income of $2.5 billion was up 9%. And year-to-date EPS of $2.25 was up 18%. These results are the best we have ever reported in a 9-month period, and puts us in a position for another record-breaking year in 2013. Now let's turn to our operating segments. Entertainment revenue of $1.9 billion for the third quarter was up 12%, driven by strong gains in retrans, syndication and streaming, as well as a 13% increase in network advertising, the highest quarterly increase in several years. In addition, CBS Interactive revenue grew 15%. Entertainment OIBDA was up 12% to $431 million, driven by the healthy revenue increases that I just mentioned. And the OIBDA margin held steady at a solid 23%. In our Cable Networks segment, Q3 revenue of $596 million was up 37% year-over-year, driven by a number of factors, including the Mayweather fight, higher content licensing from Dexter and Ray Donovan and underlying traditional affiliate revenue growth with continued increases in both rates and subscribers. Cable OIBDA of $261 million was up 15%, reflecting strong revenue growth, as well as higher program costs for sports and original series. Even with the pay-per-view event, the Cable OIBDA margin was a solid 44% for the quarter. Turning to Publishing, third quarter revenue of $224 million was up 7% on strong digital and print sales, led by Doctor Sleep by Stephen King and our 3 Duck Commander titles. And yes, we also monetize those Duck Dynasty guys. Across the segment, e-books represented 27% of the total revenue, up from 21% in the third quarter of last year. The growth of the more profitable digital sales also led to a 10% increase in OIBDA to $43 million. And the Publishing OIBDA margin expanded to an all-time high of 19%, which demonstrates that we can continue to grow the margin as the business shifts to more and more digital. In Local Broadcasting, nonpolitical revenue was up 1%, with TV stations up slightly and radio up 2%. Reported results were obviously affected by last year's political spending. As Les said, in our largest market, New York, TV station advertising revenue was up 10%. And that includes the impact of the Time Warner Cable disruption. The 2 biggest advertising categories of this segment, Automotive and Entertainment, were both up low single-digits. Local Broadcasting OIBDA of $181 million was down 15% for the quarter due to the top political advertising comparison to last year and the benefit we received from a new music royalty agreement in Q3 of 2012. At Outdoor Americas, third quarter revenue of $341 million was up 2% led by the U.S. billboard and displays business up 4%. Outdoor OIBDA of $110 million grew 5% in the third quarter. And the Outdoor OIBDA margin expanded 100 basis points to 32%. Turning to cash flow and our balance sheet. Free cash flow came in at $402 million for the quarter. That's more than double the $182 million we had in Q3 of 2012, which also included a $60 million payment for our debt refinancings. Year-to-date, free cash flow of $1.4 billion is up over last year even with a $150 million discretionary pension payment. We continue to believe that the highest and best use of our excess cash is to buy back our stock. During the third quarter, we used $279 million of our authorization to retire more than 5 million shares of our stock. Year-to-date, we have returned more than $1.8 billion to our shareholders by retiring nearly 40 million shares at an average price of $46 per share. And from the time and share repurchase program was initiated in January 2011 through the end of this year's third quarter, we have returned more than $4.7 billion of value to shareholders. That includes $746 million in quarterly dividends, as well as $4 billion used to retire 117 million shares at an average price of $34 per share. So as of September 30, we had $5.8 billion remaining on our share repurchase program. And we expect to repurchase $2.2 billion of our stock this year, which implies an accelerated pace of buyback in Q4. Also, at the end of the third quarter, we had $226 million of cash on hand. Now let me give you a few observations of what we see ahead in Q4. Network advertising is performing strongly. As Les said, scatter pricing is up double digits at the CBS Television Network. Our Local Broadcasting on a nonpolitical basis, our TV stations are pacing to be up high-single digits. And radio is pacing to be up low-single digits. Meanwhile, Outdoor is pacing to be up low- to mid-single digits. Now let me give you an update on our Outdoor transactions. In January, we announced our intention to sell our Outdoor business in Europe and Asia and pursue the conversion of our Outdoor Americas business into a REIT. We already accomplished the first initiative as we closed on a sale of our Europe and Asia business during the third quarter. And we have made great strides in the separation of our Americas business as well. During the first quarter, we filed a private letter ruling request with the IRS. And in Q2, we filed a registration statement with the SEC, just as we said we would. In addition, we also brought in Jeremy Male from JCDecaux as our CEO to help lead the IPO. So the separation of our Outdoor Americas business is progressing well and remains on track for 2014. In summary, we are on a great run. We have many growth drivers ahead, starting with next year's political campaigns and the completion of our Outdoor initiatives. Beyond that, syndication and streaming will continue to thrive as we replenish our pipeline. And of course, higher retrans and reverse compensation will continue as we renegotiate our contracts to reflect the fair value of our content. We are successfully transforming CBS into a content-centric company with an increased emphasis on non-advertising revenue. As a result, we are diversifying our revenue mix, returning more capital to shareholders and driving EPS growth. So we are on track for another record 2013. And we're very excited about our future. With that, Tom, you can open the line for questions.
Operator: [Operator Instructions] We'll take our first question from Ben Swinburne with Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: Les, you've been able to bring some pretty significant procedurals to syndication for a while here. And obviously, you got one -- a couple this year, a couple next year. And there's concern you'll run out of bullets as we head into '15. You made some comments in your prepared remarks that suggest you've got some more. Can you talk about sort of Elementary and where that is in terms of getting to that second cycle promise land? Is '15 realistic? And then on the colony front, it's been a long time, I think, since maybe Raymond, that you've had an owned comedy, make it to second cycle off net. How are you feeling about, I know it's very early days, but how are you feeling about the new comedies on the network? And do you think we can start thinking about what those could mean to the company over the long term?
Leslie Moonves: Yes. Regarding Elementary, Elementary is Thursday night 10:00. It's doing very, very well, especially the 10:00 shows when you take in the C3 and the C7 numbers. Elementary is one of the biggest jump-ups. It's almost a gain of 4 million viewers in the first weeks of that. So Elementary is going to be a very powerful tool. And obviously, since we own it, and since the world is changing rapidly, we absolutely have the ability to put it out into syndication in a variety of ways in '15. Regarding the comedies, I'm really excited about The Millers. It's performing very well. It's our first owned comedy, you're right, in a few years. And we think it has a terrific cast and a terrific off-season, great producer. And the numbers are hanging in there very nicely. And we expect that it's going to be there for the long run, which as you know, can turn into a major, major revenue stream. So we're really excited about it. Look, between CBS and Showtime, there's the constant drive to own more and more of our content, as exhibited by Under the Dome and what we have next summer. And frankly, I'm very excited about another brand-new NCIS, which the pilot's going to be on in April, and hopefully, is on the schedule next fall. And that begins once again when you have billion-dollar franchises, it's good to have the third brother in the lock coming up.
Benjamin Swinburne - Morgan Stanley, Research Division: Sure. And then just as a follow-up for Joe, on the expense side. The incremental margins at Entertainment, Joe, were a little lower than they've been in the first half. I know there's a lot of volatility quarter-to-quarter, but can you just talk about any context you'd give us around the expense trends at Entertainment this quarter?
Joseph R. Ianniello: Yes, sure. Ben, now look, I think it's more driven by more original hours of content. And again, we're comping against a lot of political preemptions of last year. So think about more hours investing in it. It's our best ROI when we can have these hit franchises. So we're, actually, I look at it, Ben, is we're able to maintain the margin. If I was looking at margin on a year-to-date basis, and if you look at the company, I think year-to-date, it's 25% compared to last year 25%, but we're building for the future. So I think, again, it's a very healthy mix.
Operator: Our next question comes from Jessica Reif Cohen with Bank of America Merrill Lynch.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: Same thing, one for Les and one for Joe. So Les, obviously, the biggest value driver for the company has been the creation of very successful content. How much further -- you mentioned that you want to use both Showtime and CBS's platforms, maybe CW as well. But could you just talk about how much room there is to expand, how much more can you scale up?
Leslie Moonves: There's always -- remember, I said it's difficult for producers to say, "Well, gee, your schedule was pretty packed with a lot of hits." But guess what? We have -- we always have 4 or 5 that we put on the fall. We always have room for more there, as well as Showtime, can continue to expand. The same thing with the CW. We have a very successful production company at the studio, which has 20-some-odd shows in production. Showtime is doing their own production. Syndication continues to do very well. And we've created, as we said, a whole new day-part in the summer now. So the idea, Under the Dome, the economics are fabulous. We started out saying, "All right, how can we do original programming in the summer?" And when we took an international number and add that to the Amazon number, suddenly, we covered the cost of production. So we were in profit before the show even went on the air in the summer. And then when it ended up being a hit, that turned into all profit in the summer. We intend to do that with Extant and year 2 of Under the Dome, of which we own 100%. So it's sort of this fairly unlimited, what we're going to be able to produce. In addition, we're starting to produce 4 other services as well. We are producing some cable shows. And so the sky's the limit.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: And then for Joe, I just want to go back to the Outdoor disposition. You mentioned the IPO is Q1. How should we think about the use in timing of proceeds? And what is the potential to lever up now that revenue, once you -- once it's separated, revenue from advertising is 50% or so?
Joseph R. Ianniello: I got it. Sure, Jessica. Look, our expectation is in Q1, we will have the IPO. So the Outdoor business would lever up. And so the cash we receive, CBS receives via dividend from that plus the IPO proceeds, we will look at that to reduce shares outstanding and accelerate our share buyback. Then we will follow that up, probably Q2, Q3 with a split-off transaction, which will act again as a another share buyback, whether it will be in exchange of preferred 20 business days. So that's the current plan and intention. So we're feeling pretty good about that. Obviously, as Les said, we are changing the mix of this company to 50-50. So we're absolutely creating financial flexibility on the balance sheet. And we're feeling, again, also very good about that. So 2014, I think we get the kind of -- reshape the capital structure here with Outdoor and looking at, again, our leverage capacity.
Operator: Our next question comes from David Bank with RBC Capital Markets.
David Bank - RBC Capital Markets, LLC, Research Division: I think you guys syndicated NCIS: L.A. after 6 episodes. Does that mean NCIS: New Orleans before you even have it, they expected to be [indiscernible]
Leslie Moonves: Yes. We're going to wait until the first commercial break. And then we're going to syndicate, depending on the ratings.
David Bank - RBC Capital Markets, LLC, Research Division: So I think one of the most interesting things about the deal with Time Warner is sort of no secret that you didn't have to give up authentic -- digital authentication TV Everywhere rights, even though you got a pretty hefty price reportedly. So why is it that you -- why didn't you kind of have a TV Everywhere authenticated product? And what are your plans to do with those exclusive authenticated rights?
Leslie Moonves: Sure, David. Look, we're open to TV authentication. So we wanted to preserve the flexibility to pursue that. We just want to be paid for that. The right of our content traveling with the consumer, we think we should be getting paid for that. And it's not -- everything can't be included in the one rate that we negotiate with the MVPDs. Those are rights -- rates for inside the home. And that's what we kind of bargain for. And so we're opened to having all sorts of conversations and maintain flexibility doing that. But it's our content. We spend a lot of money for that intellectual property. And we want to fully monetize that.
David Bank - RBC Capital Markets, LLC, Research Division: So would that imply that there's kind of upside to the new run rate, retrans number if they were to include the TV Everywhere authentication rights?
Leslie Moonves: Sure. Look, to me, again, that's new distribution outlets, different forms. And again, that's all incremental.
Operator: Our next question comes from Michael Morris with Guggenheim Securities.
Michael C. Morris - Guggenheim Securities, LLC, Research Division: Two questions. First, on the 13% ad growth to the network in the quarter and the creation of the new day-part that you referenced, Les, I'm curious where did those advertising dollars come from? I think, I mean historically, there probably hasn't been as much content in the summer because the ad demand hasn't been there to support it. So what has changed there? I mean it's one show, so it's not huge in the grand scheme of things, but over time, I mean is there a lot more opportunity in that, that space you haven't really tapped into yet? And then I have a follow-up.
Leslie Moonves: The share of the audience, as I said, the reason we did the model the way we did for Under the Dome was you don't expect there to be great ratings in the summertime, which is why we had to sell it internationally and get the Amazon deal available. When the ratings went higher, we took a greater share from our competitors at that point in time. That's why the more original programming, advertisers are coming in to pay those rates if the viewership is there. In the past, the viewership hasn't been there. And I think the network, frankly, sort of allowed cable to take away the product and then we've now -- we're now taking it back, is what I'm trying to do along with cable. So there are advertising dollars as long as the product's there with good rates.
Michael C. Morris - Guggenheim Securities, LLC, Research Division: Great, great. And then on the Dexter licensing revenue in the quarter, and Ray Donovan as well, who was the partner that you licensed to? And was it all the seasons of Dexter? Was it with partial in terms of what you have in the pipeline?
Joseph R. Ianniello: Mike, it's Joe. Dexter was licensed to Netflix. And I would just caution to you, and I think you're going to see the balance of that in Q1 of 2014.
Michael C. Morris - Guggenheim Securities, LLC, Research Division: So no Netflix revenue related to Dexter in the fourth quarter, then? It's third quarter and 1Q '14?
Joseph R. Ianniello: Not for Netflix. There could be, obviously, some sales to the traditional syndication. As Les said, Cable Networks are syndication, but not with Netflix.
Operator: Our next question comes from John Janedis with UBS.
John Janedis - UBS Investment Bank, Research Division: Every September, it feels like the market gets nervous around the broadcast ratings. Can you talk about how you feel a few weeks in? And for some of the work David Poltrack has done, can you give us an update on the impact from moving to C7?
Leslie Moonves: Yes. I think the broadcast ratings are pretty terrific across-the-board when you count in. What's happening now is the ratings are being counted in a much different way than even just a few short years ago. When you add in everything that is there, the numbers are actually going up significantly across-the-board. Now we're not getting paid for every dollar of that, but I think clearly we're heading that way. Once again, there is a sizable number of people that's watching days 4 through 7. And we've just put out a report about first 30 days. So that's not insignificant. So you take a show like Hostages, which is considered performing on a mediocre basis. It only had about 8 million viewers in its initial broadcast. When you look at the 30-day number, it's over 16 million. So it is more than doubled. Those numbers are going to be more and more calculated. We're going to get paid for that. So the poll track view of the world is coming true. And as I said, I think broadcast is viewed as healthy as it's been in many, many years because we are finally getting credit for all the online viewing, for all the VOD viewing, for all the DVR viewing that's out there. And I think the broadcast industry should feel very good about itself.
John Janedis - UBS Investment Bank, Research Division: Got it. Maybe quickly going back to the retrans comments, can you help us think about the timing? Meaning is it fair to say that the Time Warner Cable and the Verizon deals bring your target forward by about a year or so? And with the new FCC, do you see the potential for any regulations to have an impact on that revenue stream going forward?
Joseph R. Ianniello: John, it's Joe. The way I would think about the retrans and timing, I think it's just they're bigger numbers, the way you intend the run rates that have been and, obviously, accelerate. Obviously, we have to wait until the deals expire. So really, we're just waiting for time really. So we can't kind of push or pull a lot of those dollars forward. But every time we started, we're obviously pushing that value higher and higher.
Leslie Moonves: And regarding the FCC, we don't think they're going to intervene. Every indication is that they're not going to. If they did, that's probably all they would be able to accomplish because people only know about the big deals. They don't realize we do 50 deals a year. And if they were a referee, literally that would be all they do. Once again, remember, these companies, these MVPDs, some subs may be going down or they may be paying more for it, but their broadband subs, by and large, are going up at very high margins. So they're doing fine. And we're doing fine. So we don't expect the FCC to get involved.
Operator: Our next question comes from Doug Mitchelson with Deutsche Bank.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: Great. I've got a question and a completely unrelated follow-up as well. So Les, you talked about seeing a new rate card for CBS retrans with these latest 2 deals. Has the rate card already been set for reverse comp? Because I believe you got a large majority of your station affiliate deals up in 2015? Or is it going to be set in that timeframe?
Leslie Moonves: There's no such thing as a rate card. We look at different station groups differently. We are made up of 220 stations, of which we own 40% of the country. And our affiliates are about 60%. And each one is handled differently just like every MVPD deal is handled differently. There is no specific rate card. We have a target, which we expect to achieve. And yes, a lot of deals are up at the end of '14, beginning of '15. So there's a number of opportunities for us to increase our revenue there. But I think the game has been set and -- but no, there is no rate card.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: I think a lot of us think about sort of the industry average or standard being a 50-50 sharing. I mean, do you think that's a fair level for TV stations?
Leslie Moonves: That's sort of been the big going, what people have been talking about it for a while. But we're looking at it a slightly differently. We're saying, "You know what? Let's forget about retrans that the stations are getting." We are providing content for our affiliated stations. We are providing NFL and we're providing primetime. We're providing news. We think we should get paid a fair value. So what we they get for retrans, we wish them well. But what we get is a different number. And once again, we value who we are. And our affiliates value who we are.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: Okay, I like that answer. The unrelated follow-up is there anything else you might be looking at to reduce ad exposure further, whether it's something major in terms of acquisitions [indiscernible] balance sheet, Joe, or other ad-supported businesses that you have that you consider non-core that might come out at some point?
Joseph R. Ianniello: No. Doug, it's Joe. No, I think, again, our focus is grow the non-advertising revenue faster than the advertising. And this is all done organically. There's no acquisition. Obviously, that would change the portfolio and change the mix, could be significantly. But when we talk about that 50-50, that's all organic.
Operator: And we'll take our next question from Alexia Quadrani with JPMorgan.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: Just circling back to the success you continue to have on content sales, can you give us some color on how big the international syndication market for you guys either is or potentially can be and maybe in relation to the SVOD market?
Leslie Moonves: Yes. I mean, the good news is this year, the international syndication market for us is going to bring in over $1.25 billion, which has grown over the last 5 or 6 years from somewhere around $400 million. The great news for us is Eastern Europe is opening up. Asia is opening up. Latin America is becoming a lot more significant. In addition, the streaming deals are happening all over the world. You see the expansion of Netflix internationally in every market they open up, we are participating in that. So what is very pleasing to us is even as the economy in Europe has gone down, the pricing for our programming has gone up. So it's a very healthy market. It's a very important export for America. And we are benefiting from it.
Alexia S. Quadrani - JP Morgan Chase & Co, Research Division: And just a follow-up on the SVOD market. I was a little surprised to see the Dexter revenues come in the third quarter when I think delivery was October. Can you remind us how the revenues typically recognized on that type of sales?
Joseph R. Ianniello: Sure. Alexia, it's Joe. It's when we make the shows available. So it's our availability. I think Netflix is making them available to their customers starting in Halloween. But that deal was signed in the third quarter.
Operator: Our next question comes from Laura Martin with Needham Capital.
Laura A. Martin - Needham & Company, LLC, Research Division: I was on a panel with David Poltrack. And the most interesting thing that you said was that on your digital platforms, your exact same CBS viewing skewed 20 years younger. And so that would be a much more valuable demographic in the ad market. So I'm actually curious as to what the numbers are on digital platforms for you that are 20 years younger for the same programming? 10%?
Leslie Moonves: By definition, of course, they would be younger. And when you see the digital platforms becoming -- they could be up to 30% of an audience per se of any given show. So it is very encouraging because it does spread out our demographic and makes it much younger, as you would expect.
Laura A. Martin - Needham & Company, LLC, Research Division: And do you sell that in the upfront market or do you sell it standalone for its full value?
Leslie Moonves: It depends more and more, but it's being sold side by side with our network advertising. But there's still a great deal of it that's sold totally separately from that. There are digital advertising. It's very interesting. As the advertising agencies and the clients get more integrated, we will sell them accordingly. We are available to sell however they want to buy. Right now, it's mostly fairly separate.
Laura A. Martin - Needham & Company, LLC, Research Division: Okay. And then Time Warner this morning said that their SVOD revenue worldwide is $350 million a year. It will be flat in '13 versus '12. And half of that comes from Netflix. Would those be similar numbers for you in terms of the growth being flat and as aggregate size as well?
Leslie Moonves: 2013, our streaming revenue is up significantly from 2012. And our streaming revenues are coming from primarily Netflix, Amazon and Hulu.
Laura A. Martin - Needham & Company, LLC, Research Division: Okay, so it's a lot more than 50% for you, Netflix?
Leslie Moonves: Yes -- no, no, no. Netflix isn't a lot more than 50%. I think, again, the dollars are larger. But again, it's those 3 parties making up the lion's share.
Operator: Our next question comes from David Miller with B. Riley & Co.
David W. Miller - B. Riley Caris, Research Division: Yes. Joe, just a question on the Americas Outdoor IPO. Is the thinking here that you could really create a juicy trading opportunity by doing this IPO ahead of the PLR ruling? I mean, wouldn't you want this thing to come out of the box, at a media multiple rather than a REIT multiple? And therefore, create a much more compelling share exchange ratio when that occurs, appreciate any comments you have.
Leslie Moonves: Yes. Look, David, we're trying to maximize the value of the Outdoor Americas business. So we think the REIT alternative as a separate standalone public company does just that. So we're confident in our position with the IRS. So we continue to wait for that. But obviously, one factor not in our control is the -- are the Capital Markets interest rates. So we have to take all of those things into consideration, marking conditions as we make the decision. But again, we're very confident that in Q1, we're able to execute that trade. And we think we will have the ruling, I know Lamar is also in the queue waiting for their ruling. So I think, again, we're in a wait-and-see mode. But again, we remain on track. And again, the REIT, as a public entity, we think maximizes the value.
Operator: Our next question comes from Alan Gould with Evercore.
Alan S. Gould - Evercore Partners Inc., Research Division: I just want to follow up on the SVOD comments. Has the U.S. market reached a steady state? And is mostly the growth coming from international? And Joe, could you clarify that $1.25 billion of international syndication? Does that include SVOD or is that all traditional syndication?
Joseph R. Ianniello: Yes. That includes SVOD internationally. So when we talk about our international numbers, it's, again, it's revenue generated from selling our content the traditional way or via streaming. So -- and again, Alan, you asked about if we hit the steady state. I think there are new entrants all the time figuring out streaming and provide -- distributing content in different ways. So we'll look to that. But again, these guys have to continue to renew their deals and new entrants. But again, international is absolutely probably the fastest-growing if I was looking at it in terms of a growth rate [indiscernible] because there are hundreds of markets that still don't have any of our content.
Alan S. Gould - Evercore Partners Inc., Research Division: In the U.S. is it that -- are the prices per hour changing? Or is it just that they'll pay more for A quality content and less for B quality in -- et cetera?
Leslie Moonves: It does depend on that. Obviously, a show like Dexter would sell for a lot more than a show like I Love Lucy, both of which are now on Netflix. And so depending on the show, once again, remember with our Netflix deal, we have some pre-existing deals where shows that come off the air, we can put it to them and there's a prenegotiated price, which is fairly substantial for us. And we're very excited about that. And by the same token as new programming comes up that they want, we will continue to do that. So...
Joseph R. Ianniello: And we obviously have a lot of shows that the content that we have not sold yet into streaming, into the streaming marketplace. So what we're selling again is really stuff that's already off air. So we still have a huge pipeline of content to sell.
Operator: Yes, we'll take our next question from Vijay Jayant with ISI Group.
Vijay A. Jayant - ISI Group, Inc.: I just wanted to get sort of regulatory question. Since the Time Warner Cable dispute, obviously, the market thinks that you guys won that. And they sort of settled before the football season started. But there's a couple of, bills, draft bills in Congress that sort of talk about keeping signal on during a dispute or bringing in a different signal and the like. Can you just give us what do you think the chances of those kind of rulings coming to fruition? Or does it really change a negotiating leverage?
Leslie Moonves: Vijay, these bills have been around for a long time. Every time there's a dispute, when you go off the air, there's some more activity there. And clearly, one of the strategies of some of the company is to get the government involved. We don't think it's going to happen. We don't think it's going to happen soon or long-term. We think it's better that the government stays out. And every indication we have is that they will stay out. And that's what our expectations are. And I think that's what most people's expectations are.
Vijay A. Jayant - ISI Group, Inc.: Can I just follow up on -- I couldn't, I have to bring up the Aereo question, if I could. It looks like a bunch of broadcast, including yourself, I think petitioned the Supreme Court. Can you give us any sense of timing and why that deal path when you're trialing it on a market-by-market basis?
Leslie Moonves: Number one, in terms of timing, I really don't know. Number two, they have won a couple of cases. We have won a couple of cases. So we've won in Washington, D.C. We've won in California. They, obviously, won in the 2nd District here in New York City. So ultimately, we feel like it's a good chance that it will go up. Once again, we're not taking Aereo. There's been a lot of talk about it. And we don't think about it terribly much.
Operator: And our final question comes from Marci Ryvicker with Wells Fargo.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: The first, there's talk about cable consolidation. It hasn't really happened yet, but it might. So do you have any thoughts on how this might impact retransmission consent over time? And then the second question is, Les, is there any obstacle that would prevent you from moving to C7 in the upcoming upfront season?
Leslie Moonves: I'll answer the second question first, and then I'll let Joe talk about the cable consolidation. We already have some C7 deals out there. There are advertisers that realize that if you watch a show 4 days later, it's okay. It's the same value. Obviously, there are certain products that, like movies -- or sometimes that are more timely. But we think more and more of these deals are going to come up that way and be done that way. And if a product needs some attention before that, the rates may change slightly or there'll be a different form of advertising. But we think C7 is obvious. The numbers between C4 and C7 are pretty substantial. And they shouldn't be left behind. And the good news is more and more advertisers are agreeing with us. And they are making deals accordingly.
Joseph R. Ianniello: And Marci, on cable consolidation, we don't lose much -- any sleep on the consolidation. We believe we're going to get paid fair market value for our content. Consumers will always have a choice. And I think that was -- you saw that in the Time Warner Cable dispute where, I guess, their subs were down significantly. And I think FiOS, AT&T and DIRECTV were up. So as long as consumers have a choice, they'll find CBS. And so we're going to always bet on the content.
Leslie Moonves: Great. Thank you, Marci. And thank you, everyone, for joining us for tonight's call. Have a great evening.
Operator: And this does conclude today's conference. We appreciate your participation.